Operator: Good day, ladies and gentlemen, and welcome to the Matrix Service Company conference call to discuss the results for the fourth quarter and full year ended June 30, 2012. [Operator Instructions] As a reminder, this call may be recorded. I would now like to introduce your host for today's conference, Kevin Cavanah, Vice President and Chief Financial Officer. Sir, you may begin.
Kevin S. Cavanah: Thank you. I would now like to take a moment to read the following. Various remarks that the company may make about future expectations, plans and prospects for Matrix Service Company constitute forward-looking statements for purposes of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors, including those discussed in our annual report on Form 10-K for our fiscal year-ended June 30, 2012, and in subsequent filings made by the company with the SEC. I will now turn the call over to John Hewitt, President and CEO of Matrix Service Company.
John R. Hewitt: Thank you, Kevin, and good morning, everyone. We appreciate you joining us on the call this morning. Before we discuss our fourth quarter and fiscal year results, as well as guidance for fiscal 2013, I want to provide an update on our strategic planned activities and highlight key strategic accomplishments in Matrix Service Company in the past year. Matrix Service Company, finished our fiscal year with a consolidated OSHA recordable incident rate of 0.65, and with our major of SME group working 270 days without an OSHA recordable incident. We have a long way to go on our journey to a 0 incident rate, but our teams are making great progress. Our ability to continuously improve on these results is essential to our core values and the critical expectations of our clients. On August 9, we introduced a new brand identity, logo and tagline to better reflect our expanded capabilities and to complement our strategic growth plans. We have transitioned from multiple brands to a master brand architecture that represents the company's full range of service capabilities and our strong industry experience. This is a culmination of many months of hard work from a broad team within the company, and I'll encourage you to visit our new corporate website at www.matrixservicecompany.com to see our look and for more information. This year, we restructured some of our operations away from a regional focus to one that is more market driven, which is complementary and supportive of our strategy in the new operating segments. These Operating segments: Electrical Infrastructure, Oil Gas & Chemical, Storage Solutions, and Industrial provide greater internal focus and external transparency into our business and help us better tell the Matrix Service Company's story. We continue to move forward on an important ERP infrastructure investment. This multi-year program will improve and upgrade our systems and processes across the organization. When complete, we expect to have a more efficient and consistent business process environment that supports our long-term growth plans. This fiscal year, we opened 3 new office locations: Baton Rouge, Louisiana, in support of our industrial cleaning business; as well as Tucson, Arizona and Salt Lake City, Utah to support our mining and minerals focus, as well as fulfilling some of our geographic expansion objectives. In the second half of the fiscal year, we filled 2 key open positions on the senior management team, with the addition of Jack Frost, Vice President of Health, Safety and Environmental; and Alan Updyke, Vice President of Capital Construction. These individuals will provide critical leadership and experience to support our growth strategy. In addition, to provide more focus on the acquisition side of our strategy, Jason Turner, our Vice President and Treasurer, has taken on the role of Corporate Development. And finally, Jim Collins was promoted to Vice President of Electrical Infrastructure to apply more focus on the development and expansion of our high-voltage electrical services, including transmission and distribution. Speaking of which, our Electrical Infrastructure segment continues to provide solid margins and consistent work in Northeastern region of the United States, and we are gaining a strong reputation in storm damage repair work across North America. While new power generation projects are progressing slowly, the substation market continues to provide a steady flow of opportunities. We're investing heavily in our Electrical Infrastructure segment and are actively looking for acquisition opportunities in the high-voltage electrical space. Additionally, we are pleased to announce one of our recent awards for Matrix SME with PSEG to upgrade 4 substations as part of the North Central reliability projects in New Jersey. Work on this project with a contract value of approximately $40 million will begin immediately with the scheduled in-service date of June 2014. Overall, this segment's backlog had increased 49% compared to fiscal 2011. The Oil Gas & Chemical operating segment continues to see record work volumes, with fiscal 2012 revenue growth of 43.5% over fiscal 2011. Our refinery turnaround and maintenance activity in this segment continues to see robust growth, with fiscal 2012 in a record year for the company in terms of the number of turnarounds performed as well as man hours worked. In the fourth quarter alone, we had over 1,600 personnel in the field working at over 17 locations. We continue to see a large number of turnaround opportunities across the U.S., including the north slope of Alaska, the Gulf Coast and mid-continent states. Certainly, the recent sale of refineries on the East Coast has resulted in new work opportunities associated with restarting and expanding these facilities, including the major turnaround. This segment also includes our industrial cleaning business where we continue to actively develop acquisition targets. In addition, we are expanding our service offering geographically and developing cross-selling opportunities with existing customers. As I mentioned earlier, we have opened a new office in Baton Rouge, Louisiana, which will support the broader industrial cleaning effort company wide with cross-selling and business development activities. Additionally, the new office will function as a center of excellence from which other offices can draw our resources and technical expertise to support the broader industrial cleaning business. Segment backlog has increased 27.9% compared to fiscal 2011. The Storage Solutions segment represents -- represented 51.2% of consolidated revenue for the year. We were recently awarded a large tank package in Cushing, Oklahoma that will support the southern leg of the Keystone XL pipeline. While we remain the dominant storage provider in Cushing, we continue to develop -- successfully develop and bid and win new opportunities across the U.S. and Canada. Storage Solutions backlog outside of Cushing now represents 86% of the segment's backlog, and Western Canada remains a high-growth area for the company, with backlog growing 68% year-over-year as of June 30, 2012. Lastly, we continue to be pleased with the progress today in our Industrial operating segment, a key growth area for the company. Our mining and minerals footprint continues to grow with the addition of the new office locations in Salt Lake City, Utah and Tucson, Arizona as mentioned previously. While this business is still considered a start-up within Matrix Service Company, the team is successfully building an opportunity funnel, as well as bidding and winning work from top global mining companies operating in the western and Rocky Mountain states. Bid activity related to our material handling business remains solid and is expected to improve as the mining and minerals efforts gain additional traction. Matrix Service Company has booked an excess of $830 million of new work x [ph] fiscal 2012. Backlog has increased in 6 consecutive quarters, and is at its highest level in the company's history. This trend has continued into the early part of fiscal 2013. Our consolidated backlog increased to $497.5 million as of June 30, 2012, compared to $454.9 million at the end of the third quarter and $405.1 million as of June 30, 2011. The company continues to see a strong bid pipeline, and new opportunities are opening up in connection with our strategic objectives. I will now turn the call back to Kevin to discuss the details of our financial performance. Kevin?
Kevin S. Cavanah: Thanks, John. Our fourth quarter revenues were $184.9 million compared to $163.6 million in the same period of last year, an increase of 13%. Net income for the fourth quarter of fiscal 2012 was $1.8 million or $0.07 per fully diluted share. Fourth quarter earnings included an income tax charge of $3.1 million or $0.12 per fully diluted share. The income tax charge was a result of our determination that deduction limitations apply to per diem payments that have been previously fully deducted. Of the charge, $2.1 million applied to prior fiscal years and $1 million to fiscal 2012, of which, $0.2 million related to fourth quarter activity. Fourth quarter earnings also -- were also reduced by $0.03 per fully diluted share for activity related to our strategic investments. These specific investments are primarily mining and minerals, industrial cleaning, corporate development and the branding initiatives. In the same period a year earlier, the company earned $5.7 million or $0.21 per fully diluted share. Consolidated gross profit was $18.7 million in the fourth quarter of fiscal 2012 compared to $20.9 million in the same period a year earlier. The decrease in gross profit was due to lower gross margins, which decreased from 12.8% in the fourth quarter of fiscal 2011 to 10.1% in the fourth quarter of fiscal 2012, largely offset by the impact of higher revenues. Selling, general and administrative expenses were $12.2 million or 6.6% of revenue in the fourth quarter of fiscal 2012 compared to $11.4 million or 7% of revenue in the same period of fiscal 2011. SG&A included approximately $1 million of strategic investments during the fourth quarter of this year. In line with our previous revenue guidance of $725 million to $750 million, fiscal year 2012 revenues were $739 million compared to $627.1 million in fiscal 2011, an increase of $111.9 million or 17.8%. Net income for fiscal 2012 was $17.2 million or $0.65 per fully diluted share. Fiscal 2012 earnings included the income tax charge previously discussed of $3.1 million or $0.12 per fully diluted share. Fiscal 2012 earnings were also reduced by $0.07 per fully diluted share for activity related to our strategic investments including $0.03 per share in the fourth quarter. The specific investments are primarily mining and minerals, industrial cleaning, corporate development and branding. Earnings per share, excluding the tax charge noted above, was at the lower end of our previous guidance of $0.77 to $0.85. Consolidated gross profit was $79.6 million in fiscal 2012 compared to $74.9 million in fiscal 2011. The increase in gross profit was due to the impact of higher revenues partially offset by the effect of lower gross margins, which decreased from 11.9% in fiscal 2011 to 10.8% in fiscal 2012. The decline in gross margins relates to the impact of the geographic expansion of our aboveground storage business and our investments in start-up operations, including mining and minerals. Fiscal 2012 selling, general and administrative expenses were $48 million or 6.5% of revenues compared to $44 million or 6.9% of revenue in fiscal 2011. SG&A included approximately $2.5 million of strategic investments in fiscal 2012. The Electrical Infrastructure segment contributed 18.3% of our consolidated revenues in fiscal 2012. The revenues decreased from $151.1 million in fiscal 2011 to $135.1 million in fiscal 2012. The decrease was primarily due to the completion of a cogeneration project in the prior year and unfavorable conditions in our East Coast operations related to a decline in spending by electric utilities due to warm winter weather, the impact of low natural gas prices, as well as timing delays of various projects start dates and contract awards. Despite the decline of revenues, gross margins remained strong at 12.3% in fiscal 2012 as compared to 12.1% in fiscal 2011. These margins are consistent with our normal expectations of 11% to 13% for the Electrical Infrastructure segment. The Oil Gas & Chemical segment accounted for 27.8% of consolidated revenues and increased by 43.5% to $205.8 million in fiscal 2012 compared to $143.4 million in fiscal 2011. The increase was due to a significantly higher volume of turnaround work as the company expanded its geographic reach in the north slope of Alaska, the Gulf Coast and the mid-continent states. Gross margins were 9.8% in fiscal 2012 compared to 9.5% in fiscal 2011. Our margin expectations for this segment are 9% to 11%, depending on the level of time and material maintenance and turnaround work and the growth of our industrial cleaning services. The Storage Solutions segment represented 51.2% of consolidated revenue in fiscal 2012. As the result of growth in Canada, as well our geographic expansion within the U.S., revenues for the Storage Solutions segment increased 26.6% to $378.2 million in fiscal 2012 compared to $298.7 million in fiscal 2011. Gross margins decreased from 13% in fiscal 2011 to 11.2% in fiscal 2012. The lower margins in fiscal 2012 were primarily due to the geographic expansion and isolated margin phase. Our expected range of gross margins for Storage Solutions is 11% to 12.5%. Primarily as a result of growth of our Storage Solutions business, Canadian revenues increased to 8.5% of consolidated revenue as compared to 4.8% in fiscal 2011. And revenue from Canada is expected to top 10% in fiscal 2013, as the growth in Canada is expected to continue at a rate faster than domestic growth. Revenue for Industrial -- for the Industrial segment decreased from $33.9 million in fiscal 2011 to $20 million in fiscal 2012. The decrease was largely due to the timing of revenues on a single project in fiscal 2011. Gross margins decreased from 12.2% in fiscal 2011 to 2.4% in the current year. Gross margins in fiscal 2012 were negatively impacted by start-up cost incurred during the year. At June 30, 2012, our cash balance was $39.7 million as compared to $59.4 million at the beginning of fiscal 2012. The decrease in cash during the year was the result of investments in working capital required to fund the company's 17.8% revenue growth. And in addition, the company invested $13.5 million in property, plant and equipment and utilized $8.1 million to repurchase 886.5 thousand shares of stock. The cash balance along with availability under the senior credit facility gives the company liquidity of $146.5 million as of the end of fiscal 2012. We believe our strong financial position will allow us to capitalize on growth opportunities as we move into fiscal 2013. The company expects that fiscal 2013 revenues will be between $800 million and $850 million. Earnings are expected to be between $0.83 and $0.98 per fully diluted share. The quarterly development of these earnings is forecasted to follow historical trends. Fiscal 2013 includes strategic investments related to branding and information system improvements, as well as continued investments in start-up operations. These investments are included in the guidance provided, and we remain committed to the value they are creating for the business. While the company continues to pursue acquisitions, revenues, costs and earnings from acquisitions are not included in the guidance provided. And as a result of the recent change in the company's tax position, we currently anticipate an effective tax rate of approximately 40%. That concludes our prepared remarks, and we would now like to open up the call for questions.
Operator: [Operator Instructions] Our first question comes from Matt Tucker of KeyBanc Capital.
Matthew P. Tucker - KeyBanc Capital Markets Inc., Research Division: First question, if you could just provide a little more color around the FY '13 EPS guidance, and really, what the kind of key factors or sensitivities are that could drive earnings towards the upper or lower end of the range?
Kevin S. Cavanah: Now when we look at fiscal '13, it's really in line with what our strategic plan was. We had talked about we wanted to achieve overall growth of 12% to 15% on the top line. This revenue guidance is -- it really represents 8% to 15% of organic growth. Obviously, if we do acquisitions, we could exceed what we've previously talked about as the range we would try to achieve. The EPS guidance is similar. It's in line with what we had talked about as far as the growth exceeding the top line growth. If we achieve the upper end of that guidance, we'd be over 25% growth in EPS. As we've developed that earnings guidance, we have looked at each one of our business segments and opportunities that each one of those presents. We've considered the backlog and feel good with the trends we're seeing and the growth in really all of those businesses. And we're assuming that as we look at the start-up operations that, hopefully, some of those will start turning a profit at some time during the year. So we feel like it's pretty even-handed guidance based upon all the factors.
Matthew P. Tucker - KeyBanc Capital Markets Inc., Research Division: And then with respect to the Storage Solutions margin, you've mentioned that the kind of geographic expansion of that business has had a negative impact on margins. Could you provide a little more color on kind of why that's the case? And is that something that we should expect to continue? Or do you think as the geographic expansion kind of progresses, that the margins will kind of trend back up to a little bit more normalized levels?
John R. Hewitt: This is John. I would expect that the margins to stabilize upwards. They may not achieve historical margins when we were a primary contractor in Cushing. So a couple of things have happened as we moved outside. Obviously, the further we get away, the -- create some more challenges logistically for us to service markets that are further from our home base. And two is, is that in the past couple of years, some of the size of the tanks and tank packages have created opportunities for smaller contractors to compete, and to -- so for some extent and in some cases, that has provided some more pressure on our margins. But overall, I would expect our -- within the -- over the next couple of years for our margins in that market to stabilize up into a range that Kevin had mentioned in his remarks.
Matthew P. Tucker - KeyBanc Capital Markets Inc., Research Division: One more and I'll jump back in the queue. If you could just talk a little bit more about kind of what you are thinking and looking at on the M&A side. Are you seeing any attractive opportunities right now? What kind of end markets are you most focused on? And would you consider kind of adding some leverage for the -- right out of opportunity?
John R. Hewitt: So right now, we are focused on really 3 things. We're focused on industrial cleaning and different sort of small businesses in regional areas that we want to get coverage that we can use to leverage our -- either leverage our current client base or to open up new client opportunities. We are focused on Electrical Infrastructure business, where that help us move us westward off the East Coast into the sort of Ohio Valley and Midwest states and up into Ontario. And then we are looking at sort of small cap construction businesses that, again, provide us some additional geographic reach. So those are kind of our focus areas. I will tell you that through the course of this year, we have sifted through some 75 to 100 targets, have had detailed conversations with probably 10% of those and are -- have had active conversations with 2 or 3. So we are being, I would say, fairly cautious about the targets and the candidates and their individual financial conditions. Some of the candidates we've looked at we thought were too pricey for the return we would get, and so we're continuing to head down that path. We -- as we've said in our remarks, we provide them some additional focus there by creating a corporate development position where we have a senior level person in our company focused on achieving those acquisitions. Today, we are not looking at taking on a considerable amount leverage for the type of acquisitions that we've been looking at. That's not to say that some time in the future, we wouldn't find the right opportunity where that might make sense, but as of today, we -- that's not part of our plan.
Operator: Our next question comes from Matt Duncan of Stephens.
Matt Duncan - Stephens Inc., Research Division: I want to dig into the gross margin just a tad bit more on the Storage Solutions side. John, is there any more color you can give us on sort of what the ramp may look like? Is it probably going to start out in maybe in FY '13 closer to the bottom end of the range that Kevin gave of 11% to 12.5%. Then, I guess, you should scale in Canada. That's what would move it back up to the 12.5%, so it might take a couple of years to get there. Is that the right way to think about that?
John R. Hewitt: Well, assuming we don't -- Kevin mentioned we had a couple of margin saves on our -- in some of our projects that had some impact really on the -- on that 11.2% for the year and that I would expect the, as you call, ramp-up to be, let's say -- I wouldn't say it'd be a -- in a fast rate to the 12.5%. So I think as we sort of execute more projects in Canada, as we continue to book more work outside of Cushing, that it will be our anticipation that we'd be in the middle to the high end of that range by the end of this year -- by the end of this fiscal year.
Matt Duncan - Stephens Inc., Research Division: That helps. And then on the -- Kevin, on the tax rate in the quarter, you called out the $3.1 million in sort of excess income tax expenses in the quarter, but if I back that out, I get kind of a 22.4% tax rate, and it sounds like 40% is maybe a more normalized rate. So if I tax this quarter at 40%, I would have gotten kind of a $0.14 number. Is that really the right way to think about the ongoing business and what it sort of reported in the quarter?
Kevin S. Cavanah: Yes. I think that if -- just on our normal tax rate, this quarter would have been around $0.15, so your math's pretty good there. One thing that has really contributed to the tax rate in that fourth quarter is we've talked about Canada a lot. We talked about the growth in Canada and that growth and turning to a profitable business has allowed us to reverse some allowances on some operating loss carrybacks. And so we've done that in the fourth quarter, and this really is a result of the good growth and the good performance of Canada.
Matt Duncan - Stephens Inc., Research Division: Okay, that's helpful. Looking at the backlog in the Oil Gas & Chemical segment, that was up pretty nicely in the quarter. It sounds like the growth from electrical instrumentation was probably the largely the one big project, but were there any large projects that helped to grow that backlog at Oil Gas & Chemical? Or is that more just an accumulation of wins?
Kevin S. Cavanah: It's more of an accumulation of wins. I think John mentioned, we picked up some work in some of the refineries out east that contributed to the growth there. But we've really seen a pickup lately in that segment. I mean, we've talked about the last 2 quarters about the strong turnaround activity, but we're seeing some smaller capital projects also.
John R. Hewitt: Yes. I wouldn't say that it was any one big project. It was a series of small projects that we've been very successful in winning and building brand awareness with not only our existing clients but some new ones as well.
Matt Duncan - Stephens Inc., Research Division: Okay. And I know you guys don't bifurcate the business by construction or repair and maintenance anymore, but is there any way to think about which of those 2 might be driving that backlog growth more? Is it a healthy mix of both?
Kevin S. Cavanah: I believe it's the mix of both. I mean, some of those -- the work we're doing in some of the refinery, some of the turnaround work that were -- we've booked is obviously the maintenance side, and -- but there's also some capital projects in there.
Matt Duncan - Stephens Inc., Research Division: Okay. And then looking at the revenue guidance, I know in the highlights at the end of press release, you guys said that it was in keeping with that 12% to 15% growth target. I think the math for the revenue guide is actually 8% to 15%. So can help us think through the delta between the 8% and then actually getting into the range you guys are targeting of 12% to 15%? Are there certain things that need to break your way to get to the high end of the range? Or sort of help us think through that a little bit.
Kevin S. Cavanah: So I think if you look at the revenue guidance, that 8% to 15% growth, that's all organic. And so we feel pretty good about that range. I mean, the top end is possible from organic growth by itself. The 12% to 15% we talked about with our strategic plan is overall growth. So if we're able to execute on acquisitions and that contribute to the year, we can potentially exceed the 15%.
Matt Duncan - Stephens Inc., Research Division: Right, that helps. Now last thing and I'll hop back in queue. John, can you maybe -- I know you've laid out a little bit of the growth plan for the Industrial segment, but I'm hoping maybe you can give us a little bit more detail about how you guys expect that segment to unfold. What's a reasonable revenue level for us to think about there for FY '13? And sort of what type of growth are you expecting out of that business?
John R. Hewitt: Well, we're expecting for 2013 that that business, by the end of the year, to be operating on a -- certainly, on a breakeven basis, and that the mining and metals business combined with the material handling portion of the business, we would hope that we would be in a position by the end of the year where that's a business in the, say, in the $40 million to $60 million sort of revenue range. And right now, what we're seeing, I would say, the activity in the -- in our Tucson market has been very good. Our acceptance by those clients has been strong. We are probably slightly ahead of that curve of how we thought we had ramped up there. Salt Lake City operation, I would say, is sort of on curve right now. We've got a very strong bidding activity there. A lot of the projects that the Salt Lake City group is looking at, I would say, are bigger or some of those are bigger sort of capital projects. And then the material handling piece of our business, we do have one project, as you guys are aware, that we reported I think last quarter, booked. And we have got several opportunities that we're currently in the sort of the short strokes with to close on, on those contracts. So overall, we feel pretty good about where we are and that we think that by the end of this fiscal year, we'll be pretty much on track and on plan.
Matt Duncan - Stephens Inc., Research Division: But John, you're saying the run rate from -- for revenues by the end of the year would be $40 million to $60 million? Or do you expect it to do $40 million to $60 million in FY '13?
Kevin S. Cavanah: We expect it to do $40 million to $60 million in fiscal '13.
Operator: Our next question comes from Mike Harrison of First Analysis.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: I apologize for piling on, on the Storage Solutions gross margin issue, but I was just hoping that maybe you could help us understand kind of what are the biggest factors driving the margin weakness that you saw on the quarter. Is it a competition and pricing issue? Is it fabrication-related costs that you're encountering in serving those markets from Oklahoma? Is it a shortage of skilled labor, and so you're seeing higher labor costs? Is it just kind of sales and marketing overhead that you're not able to yet leverage across enough projects? What -- how would you separate those factors? And kind of how would you expect those factors to evolve over time?
Kevin S. Cavanah: So I would say, if we're talking about the fourth quarter, so if you compare in a sort of a clean environment the overall consolidated margins for the Storage Solutions business compared to previous years, they are a little bit lower. And then you come on the fourth quarter, you combine a couple of margin phase we had on 2 or 3 projects to drive that 1 quarter down into the 9.8% range so -- and from a mathematics, lower the overall consolidated margin for the year. So I wouldn't take the fourth quarter as indication of margins to come for the business. I would say that, that was a sort of a unique experience. And if we continue to execute well and continue to book work at the margin rates that we would expect for our entire footprint that those consolidated margins, as we talked about and as Kevin mentioned, would be in the higher end of that range.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: And on those 2 or 3 projects where you saw lower margins than you had expected, were those fixed-cost contracts? And I guess, help me understand what happened on those.
Kevin S. Cavanah: Well, I don't -- we're not getting into the details of what issues we had on those contracts, but yes, they were fixed-cost contracts. And each one has got its own individual story, what created the margin fade there, and all of those are not systemic issues within the projects. They were unique to each project. And in the construction business, those kinds of things happen. Unfortunately for us, they -- some -- 2 or 3 of them happened in the fourth quarter.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: Got it. And then you referred to about $1 million worth of growth investments in the quarter and kind of gave us 4 buckets where those fell. Can you help us maybe disaggregate kind of how that $1 million split out among those 4 buckets and maybe how it was -- if we wanted to think about allocating it to the 4 different segments work?
Kevin S. Cavanah: I'll let John talk here in a second, but I'd -- most of the -- most of those dollars related to either to the Industrial segment or to corporate that's allocated pretty much evenly throughout the company, the stuff like branding is something that's benefiting the entire company, and we would have allocated that evenly.
John R. Hewitt: Yes. So it isn't one specific thing. It's a combination of a couple of different things. Kevin mentioned the mining and the metals. There's costs associated with that, the branding worldwide. Some amount in our ERP implementation is included in there, some costs, our corporate development that we spent. So some of these are, we would consider, in some cases, could be onetime charges, and some of them are onetime charges as maybe, for instance, ERP that will kind of be recurring until we get our system totally up and running. But they -- but the majority of these things are costs that we consciously made the decision to spend. They weren't surprises and that we decided that for the best interest of the company, these are the things we needed to do and get started on.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: And I guess in terms of the $1 million pretax run rate or $0.03 of EPS, however you want to think about it, what kind of an investment spending rate is implicit in your guidance? It -- do we continue with that $0.03 a quarter for the rest of the year? How does that trend?
Kevin S. Cavanah: Well, if we think back to the last call, we talked about, I think, it was around $800,000 incurred in the third quarter. I think in the fourth quarter is probably going to be -- the first quarter of next year, it'll be a little bit higher. It'll be similar to the fourth quarter. And then it should ramp down through the rest of the year. Overall, it may be a similar amount to what we invested in fiscal '12.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: Okay. Looking at the June quarter in the Electrical Infrastructure business, how did the top line compare to your expectations? And during the quarter, did you see any issues related to the unusual heat that at least we saw here in the Midwest that might have caused your customers to delay some projects?
John R. Hewitt: Certainly, we are -- and really in all of our business but certainly in that business, we are subject to our clients' timing of the award and the start of projects. And as we had discussed in our third quarter call that the heat, the low gas prices, the shutdown of the refineries, so there was a lot of electrical infrastructure type work there in the third and fourth quarter that impacted that business on the top line. Since then, we have been -- we have booked considerable amount of electrical-related infrastructure work, and that pipeline continues to be very strong moving into the first part of this fiscal year.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: And just in terms of the PSEG win that you guys announced today, how much of that $40 million is going into the 12-month backlog? And I assume that, that was not in the backlog as of June 30. Correct?
Kevin S. Cavanah: Well, so when we looked at backlog at June 30, we knew we were getting award of that contract. We actually had the award. We've just finalized the -- been finalizing the contract and the press release since then. So it is in the backlog. That being said, I think John mentioned in his calls, we've seen the backlog growth trend continue into the first quarter of this year. As you look at that individual contract, it's a rather long contract. It goes into fiscal...
John R. Hewitt: 2014.
Kevin S. Cavanah: 2014. So it's probably about half of it into fiscal '13, a rough guess.
Michael J. Harrison - First Analysis Securities Corporation, Research Division: All right. And the last question I have is just in terms of the prospects for international expansion, and you've talked about it in the past that you continue to work there. But I was just curious, do you guys see the mining and metals area as being maybe easier to expand internationally than your core construction business, be it tankage or oil and gas or electrical?
John R. Hewitt: Well, we're just -- a couple of thoughts there, one is assuming that Canada is not international that right now we are primarily focused on North America, and we do not have in our current short-term strategy to pursue any sort of international opportunities, not to say that if a client specifically asked us for -- to come to a project for them. And I would say, a friendly international environment is something we certainly would consider, but we're not actively pursuing any international work. And so -- and you back up and you look at our business, we're a construction services provider. Primarily, our strengths are related to the control management delivery of labor, qualified labor to projects, managing that labor. So as a construction contractor only, it is -- becomes difficult to go internationally where you may not have as good a feel on the labor. So you have to take -- you have to be able to bring a skill set, a technology, a management skill set to an international project that you're able to sell and get value for and team with local contractors. So that'll be a rough sort of view of what that model would look like. And so if you're going international, for us, we would want to be selling one of the things that we're known the best for that we do the best, and that would probably be around our storage business. So if we were going to go international today, that was probably where we would start.
Operator: Our next question comes from Martin Malloy of Johnson Rice.
Martin W. Malloy - Johnson Rice & Company, L.L.C., Research Division: On the Storage Solutions business, could you talk a little bit about where you're seeing strength in order flow outside of Cushing? And is it -- are you starting to see a pickup in Storage Solution demand along the Gulf Coast from fractionation, chemical, petrochemical plants that have been announced? Or is that still down the road a bit?
John R. Hewitt: Within a level of accuracy, I would say the strength is in blend of different pockets around the U.S. so we're not -- there isn't like one area that's looking like it's becoming a new Cushing, so we're doing work down in Texas and the Gulf Coast, looking at opportunities. We've got recent awards of projects up in Wisconsin and Illinois. We've got a recent award of projects up in Western Canada. We're doing work up in the Bakkens, in Oklahoma and in Cushing. So there isn't any one area that's probably -- that you could to say this, wow, that could be another Cushing. Probably Western Canada maybe get -- will get the closest to that with the work in the harvesting [ph] area where the new XL pipeline, once it gets approved, will be sort of beginning. But I'd say it's a pretty broad geographic range of where our opportunities are.
Martin W. Malloy - Johnson Rice & Company, L.L.C., Research Division: Okay. And then is there are any commentary you can offer in terms of the refinery turnaround season, how it's shaping up this fall and maybe next spring in the geographic areas that are important to you?
John R. Hewitt: Well, some of the -- we mentioned I think in our last call, some of our clients that we did turnarounds for, and had a strong turnaround season as we noted this past fiscal year, they will probably be a little off for us, but we are seeing some very strong turnaround work for us up on the slope in Alaska. We've been able to open up some new client opportunities in sort of the mid-continent refiners up in Salt Lake City, up into Kansas, and of course, Oklahoma and Texas. So right now, our expectation is that we would see a -- may not be the same -- maybe not the same kind of year we had in 2013, but we expect our refinery turnaround to be fairly strong again in 2012 -- 2013. I think I would add to that I think is the -- is we've seen some -- in the East Coast refineries, we've seen those -- that work settle down a little bit. The refineries have been bought and getting ready to get started up. We have done and are completing some turnaround work in one of those local refineries, and we would expect some capital, small capital projects and maintenance work in those refineries on the East Coast to strengthen through the course of this year.
Operator: Our next question comes from Tristan Richardson of D.A. Davidson.
Tristan Richardson - D.A. Davidson & Co., Research Division: Most of my questions have been answered, but I was just curious, could you talk a little bit about CapEx and where you finished '12 and what you guys are thinking about for 2013 and just sort of the differences there, some of the initiatives?
Kevin S. Cavanah: So we did $13.5 million in fiscal '12. I think as we look at fiscal '13 and we're looking at growing in these new areas, that will require some capital investment, so right now, we're looking at probably $20 million to $25 million of capital spending in fiscal '13. And it's in the areas that you would probably suspect. It's going to be in areas such as continuing to grow Western Canada. It's going to be some of the startups we've talked about with the industrial cleaning and mining and minerals and probably some more spending in the electrical business.
Operator: Our next question is from Matt Tucker of KeyBanc Capital.
Matthew P. Tucker - KeyBanc Capital Markets Inc., Research Division: Yes, just a few follow-up questions. I was hoping you could comment just a little more on kind of the overall SG&A outlook. You've talked about some of the strategic costs kind of a tapering off a little bit as the year progresses. At the same time, the guidance applied to the business is growing, so what's kind of the net effect on the SG&A trend this year?
Kevin S. Cavanah: So I think last year was a pretty good year for SG&A. Half of the growth in SG&A last year was specific investments. I think we'll have a similar level this year on those types of investments. But outside of that, I think that we would expect that our SG&A would, on an overall basis decrease at a rate slower than revenue, as we leverage our cost structure. That being said, there are going to be times that we need to invest in making sure that we've got the right talent in the organization, especially as we grow and that we've got the right tools in our employees hands and we're spending the right amount on the development of systems. So we've talked about ERP. That's very important to us. We want to make sure that we are building our systems and processes with the end in mind. We want an infrastructure that's going to support the $1.5 billion company we're going to be in 5 years.
Matthew P. Tucker - KeyBanc Capital Markets Inc., Research Division: And you mentioned that the storage backlog in Canada grew pretty nicely in FY '12, could you tell us what the current percentage of storage backlog is in Canada? And/or as you look at your kind of bidding pipeline on the storage side, kind of what percentage is in Canada?
Kevin S. Cavanah: Well, that's not a number we disclose, but Canada was 8.5% of revenues in fiscal '12. We said that's it's going to increase above 10% of revenues. And so it's not hit the $100 million level yet, but it could in the near future of overall annual revenues, so backlogs of probably 50%, 60% of that number.
Matthew P. Tucker - KeyBanc Capital Markets Inc., Research Division: And then you mentioned a large storage award in Cushing related to Keystone. Was that included in the fourth quarter backlog?
John R. Hewitt: Yes.
Matthew P. Tucker - KeyBanc Capital Markets Inc., Research Division: And then just final question from me, can you talk about the outlook for LNG storage opportunities? And are there any kind of imminent ones that you're looking at? And if so, could you give us kind of a ballpark sense of the size of those opportunities?
John R. Hewitt: Some things or opportunities we're looking at now in the -- related to LNG is more around some process improvements and some repair and maintenance work. We don't have any immediate near-term sort of LNG storage tank opportunities in our radar. There is -- we, obviously, have had discussions with some clients for the work on the Gulf Coast, but there is nothing right now in our short-term plan that we would be booking a large LNG project.
Operator: At this time I'm not showing any further questions. I'd like to turn the call back over to John Hewitt for any further remarks.
John R. Hewitt: Now I want to thank everybody for their participation today and that we look forward to talking with you in the future.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes today's program. You may all disconnect. Everyone, have great...